Operator: Welcome to DSM's Conference Call on the Q3 Results of 2014. (Operator Instructions). Now I would like to turn the call over to Mr. Huizing. Please go ahead.
Dave Huizing: Ladies and gentlemen, good morning and welcome to this conference call on third quarter 2014 results which we published earlier today. Sitting here with me are Mr. Feike Sijbesma, Chief Executive Officer and Chairman of the DSM Managing Board, Mr. Rolf-Dieter Schwalb, Chief Financial Officer and Member of the DSM Managing Board, and Mr. Jos Op Heij, Senior Vice President, Corporate Control and Accounting. They will elaborate on the announcement and after that answer your questions. This call will last until 10:00. As a reminder, today's presentation may contain forward-looking statements. In that regard, I would like to direct you to the disclaimers about forward-looking statements, as published in the press release. Now, I like to hand over to Rolf-Dieter. Rolf-Dieter?
Rolf-Dieter Schwalb: Thank you, Dave. Ladies and gentlemen, thank you for joining us this morning. Earlier today, we reported our third quarter results of 2014. We delivered improved financial results compared to the previous quarters with good cash flow generation and an organic sales growth of 5%. In nutrition, our resilient business model and strong position in the value chain have enabled us to deliver an increase in result compared to the previous three quarters. Challenges in some human nutrition end markets remain and pricing pressure particularly in Vitamin E, intensified in the latter part of the third quarter. Nutrition EBITDA in quarter three amount to €225 million which was an EBITDA margin of 20.6% and this came with 2% organic growth. In performance materials, our continued focus on efficiencies and ongoing cost control served us well and we're pleased by the overall performance with all businesses contributing to increased EBITDA of €91 million which is up compared to Q2 this year and also Q3 last year. This €91 million is equivalent to a 12.6% EBITDA margin, close to our 2015 target. Cash flow was at a good level in Q3 at just over €300 million. The operating working capital at the end of Q3 was slightly lower compared to Q2 2014 and bringing it down further remains a key priority for us. Tomorrow at the Capital Markets Day, we will provide you with an update on our strategic progress and current priorities. We remain committed to our strategy for growth across our nutrition and performance materials businesses and we will continue to pursue strategic actions for polymer intermediates that is caprolactam and acrylonitrile and composite resins. Now to the outlook. Increasing macro-economic uncertainty and continued low consumer confidence are impacting market dynamics. Some currency rates have developed favorably towards the end of the third quarter but, in general, currencies remain very volatile. Barring unforeseen circumstances, DSM is on track to meet current market expectations. And with that, I would like to hand over for questions
Operator: (Operator Instructions). The first question is from James Knight, Exane Paribas. Go ahead please, sir.
James Knight – Exane BNP Paribas: I've got a couple of questions or a couple of sets. Firstly, could you add a little bit more color to some of these headlines we're seeing on Bloomberg about the carve out of it appears to be the whole of polymer intermediates being almost complete and complete exit possible? Could you talk about what kind of exit strategies that you're now looking at there and, as I think is implied by the press release as well, whether acrylonitrile is part of that process as well? Secondly on Vitamin E, could you help us dimensionalize to use that horrible word, the impact of Vitamin E on nutrition? What percentage of sales it is, how we should think about the translation of the spot prices we can see into the contract prices that you achieve? Just some numbers that we can really just try to estimate the impact of those lower spot prices in Q4 and into next year. Thank you.
Feike Sijbesma: All right. Let me start with the portfolio. As you know, the DSM has always been busy with portfolio management and we will continue to do that. We have changed our portfolio quite a bit over the last couple of years. We have been explicit and we will be explicit tomorrow also in the Capital Markets Days that business like caprolactam, acrylonitrile, but also composite resins, does not fit excellent with our portfolio which is more resilient and less cyclical. So those three businesses are there open for strategic actions, indeed, carve-out of the activities. The strategic actions can be filled in in several ways. It can be a complete divestment, it can be divesting via constructs of joint ventures or whatever which we did before, whatever suits the best and generates the best shareholder value, obviously. Timing, if that is your follow-up question, always difficult to give on that one, but strategic direction clear. On top of that, I say in our performance materials business and nutrition business the focus for the coming period is very much on operational performance improvement. And we think that the two combined actions of some strategic actions. As I just mentioned and the improved performance on nutrition and performance materials generates the best shareholder value for the coming period and I cannot be more explicit on that one. Maybe you want to cover Vitamin E?
Rolf-Dieter Schwalb: Yes, on Vitamin E. Yes because the spot market price, as you can see on Feedinfo, have come down. Now, we have told you in the past also how this impacts us with some delay, three to six months, so the impact in Q4 should be limited, but we need to see. But generally speaking that is what we can add to this Vitamin E discussion at the moment. Of course, you can speculate always about next year, but that is difficult to do at the moment.
James Knight – Exane BNP Paribas: Just a quick follow-up, Rolf-Dieter. Could you just indicate what level of external Vitamin E sales you have as straights in any given year, a ballpark, maybe a percentage of nutrition sales? Thank you?
Rolf-Dieter Schwalb: No. What we have given is last year, the total sales of Vitamin E that is of straights and forms, has been 9% of total nutrition. Now with prices falling and, of course there are volumes also, but we will see. We will publish a new number next year when the year has finished. I would expect that it is, for this year then, slightly lower than the 9%. 
Operator: The next question is from Mutlu Gundogan, ABN AMRO. Go ahead please.
Mutlu Gundogan – ABN AMRO: I also want to talk about the portfolio. Could you tell us what has changed, why you have chosen to broaden the scope of the possible divestments? What triggered the change from going only for the emerging market exposure of lowering debt to now all these businesses? And then secondly, why are you choosing to do it now? Would you consider splitting the company, as we're seeing with other chemical companies, so putting all the materials businesses together? And then thirdly on nutrition, we're nearing the end of the year. I think this year you spoke a couple of times about Haishun. Can you give us an update there? What are you seeing happening there? Are these guys coming to the market?
Feike Sijbesma: Okay. I can only repeat what I've said before on portfolio management. As you have seen that DSM has been always busy with portfolio management, we were a petrochemical company 10, 12 years ago. We're a totally different company today. And we have seen that to do that in a step-by-step approach which generates the most value of the parts you divest and generates the most synergy of the parts you acquire, is the best way of transforming a company. You've seen also that in the gradual share price improvement over the last seven, eight years or 10 years and the enterprise value increased that and served this purpose. We're indeed maybe slightly more explicit at this moment than before, just to create clarity, internally and externally, what direction we want to take. Caprolactam, acrylonitrile, composite resins are all lesser performing businesses or businesses which have a certain cyclical character and do not fit with the DSM we want to create. So let's be very explicit, they will be set apart into DSM and we're looking for strategic actions there. Now if you take caprolactam, we still want to secure – I don't see huge problems with that, but we still want to secure our supply captively to engineering plastics which is roughly 30% of our total caprolactam sales, 70% goes to the emerging market and indeed, you are right, in the past we have formulated that as reducing the exposure to the emerging market of caprolactam. You can dream that sense as I can dream that and we have been more explicit at the moment. And I hope that creates the clarity internally, externally which is needed. On performance materials and nutrition, we see that we need to be further busy with the integration, no big acquisitions at this moment and focus on the operational performance improvement. On Vitamin E, like Rolf-Dieter said, indeed, Vitamin E prices came down sharply in the end of the third quarter. Of course, if this continues, this is impacting our results. I think today also prices went down in the quarter 30%. What is it roughly? So yes, if you make your calculations, you can calculate that theoretically this could have a substantial impact. But I don't know how long that will last, I don't know what is the price to the total portfolio of DSM, I don't know how much we can composite with cost reductions and perhaps also with further forms etcetera., which create higher margins. But you can calculate theoretically this could be maybe €15 million to €20 million per quarter if you compare all equal. And if it all continues and if it all cannot be compensated and if it applies to all our Vitamin E forms etcetera., etcetera and that is a speculation which I would not go that direction, but indeed a sharp decline. Our policy is very clear here, we see intensified competition from China and we hold strongly our market share. I think that is the best strategy and, of course, it will cost some margin at this moment, but I think it's the best strategy to defend and to hold strongly our market position and not to let the Chinese have stronger inroads. I see some positive there because I know that the smaller Vitamin E manufacturers in China must be, at today's market prices, around break-even or maybe loss making. So, I think that they will run into problems with these prices. I don't like these prices, but we still make profit at these prices, so we can manage that. And we need to see how others are dealing with the prices because we're one of the strongest or maybe the best in terms of cost in the market. Haishun, the new one, I don't see any progress there of finishing their investments and entering the market, so – and at today's prices maybe it has not become more attractive for them to do that either. So that is the Vitamin E situation, a clear strategy on our end and we need to see what the future will bring.
Operator: The next question is from Mr. Joseph Dewhurst, UBS. Go ahead please.
Joseph Dewhurst – UBS: Just I've got three questions. First of all, on the working capital to sales, we've seen that now – well, certainly on net working capital, starting to stabilizing. What are your thoughts on improvement there? And where do you think you could get that to and also how quickly? And then on the human nutrition side and particularly with the supplements in the U.S., we've seen the results from Bayer and other companies on the branded vitamins. And you're again seeing double-digit declines again in the third quarter on sales there. Again, how the marketing approach is going there and the turnaround in that market? And also, in conjunction with that, you've indicated there'd been some improvement in the emerging markets. Particularly with Russia because I understand Russia is a large supplements market, if there's any risks that you see there? And then just finally apologies again, just on the portfolio, but just to be clear, does that mean that you may need bundling in some of the composite resins businesses with the potential JV or divestment? 
Feike Sijbesma: Right. Let me address several of your questions and then, at the end, Rolf-Dieter, on operating working capital. On the portfolio, to start with that, indeed, I indicated which businesses do not fit with the strategic direction of DSM and, indeed, there could be a straight sale, that could be via bundling it with others and joint ventures, it could be several ways. And of course, I'm open or we're open for all of these, what serves to go the best and generates the highest shareholders' value. But it's clear what kind of direction we aim to go here. On the Omega-3 dietary supplements market, especially in the U.S. that was indeed since, what is it, the end of the third quarter last year/beginning of fourth quarter last year in a down. And it has not really improved over the year. So also that is hampering, of course, our growth and I'll come back on that, in this third quarter, in the human nutrition part. What we have done, together with other players in the industry, is set up a coalition to see whether we can communicate better and further, especially in the U.S. which is the biggest supplement market. And by the way, outside the U.S., the supplement market was not really that down and Russia is a small part of that total global market. But the problem was especially in the U.S. So this coalition that we have set up, we did some testing in certain regions in the U.S, if we communicate stronger with our consumers and make clear the deficiencies which are there, especially in the U.S. to be honest on certain vitamins, vitamin D, very strong, but also certain others with women, elderly people, pregnant women, children, etcetera. that, indeed results into an uplift where we have seen that in the testings which we did. Whether we want to, can roll this out nationwide in the U.S., we have not yet decided and I need to look also into cost benefit here, but it's clearly that further communication can help. That is the first positive sign. But I'm very careful of saying to you guys, so this will result again to an uplift and an uptake of that market because the market is lower than it was a year before. I see some positives in the communication. We're leading that industry coalition, but I'm careful about the results although of the first test, they look positive. And once again, outside the U.S., it is not a big problem. The dietary supplements market has more or less continued with, I think, 2%, 3% growth, in certain areas, even 4%. I want to add, if you look to our Q3 results that you see those growth of performance materials of 4% organically which is mainly coming from volumes at flat prices and nutrition of 2%, mainly from volume at which flat prices. Of course, higher in the animal health than in the human health, so human health with this situation on dietary supplements which was not yet there in Q3 last year, so, of course that depressed the volumes. And if I put that against that market background, I think the Q3 numbers looked even good. And if you look to some of our competitors and their organic growth and volume reports, I think that DSM had, in fact, a pretty good third quarter in that context, obviously. Rolf-Dieter, on operating working capital?
Rolf-Dieter Schwalb: Yes, operating working capital of 23.7% of sales at the end of this quarter which was exactly the same number a year ago, is too high. That is what we clearly have said, but we have to be careful with this average DSM number. So let me remind you that the working capital levels by business segment are quite different. Nutrition is clearly above 30%, but should come down to around 30% or maybe slightly below not much below by the way. But that's what we still need to do. The rest of the business is basically at target levels. In the year, September is a high month, a high receivables, slightly higher but not really big issues. So the average of DSM always depends on this. Let's just assume, for the exercise that we can conclude what we have said on polymer intermediates and composite resins that would, of course, increase the average number for DSM because of simply a mix effect. Now, the big reduction potential still is in nutrition. Not easy because the value chains and the supply chain, especially with all the acquisitions, the buildup of all the premix facilities have become much more complex than they were in the past. So this is a program which will take us most likely into and maybe the full next year, to get to a level of around 30%. Some reduction in Q4 we still expect, so we're on the way. What needs to be done, yes, look at the supply chains, understand it better, improve the supply chain planning, the sales planning, translate it into production planning and then into the full supply chain planning. That needs partly support by IT systems but it needs basically, this full understanding. The main topic here will be inventories. It's not so much about receivables and payables. So this year, we will still come down. That is our expectation but not to the real target level which may take the full of next year. That's maybe on operating working capital.
Operator: The next question is from Andrew Benson, Citi. Go ahead please.
Andrew Benson – Citi: Can you just clarify the position with regard to the internal supply of capro, whether you're just now looking for a long-term supply agreement and why you now think that's okay? Most of the rest of the questions have actually been answered.
Feike Sijbesma: Yes. On the caprolactam, we have a strong position in caprolactam, although the market is, of course, under pressure in terms of margins and prices. But DSM is by far the strongest player in caprolactam globally with positions in United States pretty competitive, especially due to the shale gas position in Europe, and position in China in a joint venture with Sinopec. Of the total output of caprolactam, we take more or less 30% captive. And we need to continue with that. Realize that in China that is more or less an arm's length contract because the China situation is in a joint venture with Sinopec. So we cannot provide that at cost to ourselves because our other shareholder will not agree with that. There, we have a 60:40 joint venture, 60% DSM. In the other two regions, of course, we provide it to ourselves at cost level. Obviously, it's today internally and if we put caprolactam completely outside DSM, we can continue to buy at arm's length in China. And we need to secure that the new owner can provide us with the caprolactam we need. And we do not see a big difficulty to secure that and that is basically the story line.
Operator: The next question is from Mr. Jaideep Pandya, Berenberg. Go ahead please.
Jaideep Pandya – Berenberg: Just on nutrition for Q3, if you can just help us understand. So, sequentially, if I exclude the impact from FX and also the fire, it seems like the business deteriorated somewhat in underlying EBITDA. So I want to ask the question if that is the case. And then I just want to understand your comment on flat pricing in the business and mirror it with the comments you were talking about Vitamin E. So, clearly, you have Vitamin E pricing headwinds, so that has to be offset by price mix improvement somewhere else. If so, was that the case? Or you haven't really seen the pricing hit in Vitamin E yet in Q3 which could potentially follow in Q4 or further quarters? And then, just a final follow up on nutrition really is in terms of you driving the business operationally, I guess you will talk more about it tomorrow, but what is your main message here? Are you going really for top line growth? Or are you more keen on improving margins back to the old days? Thank you.
Feike Sijbesma: Okay. I don't know, you said deteriorated, but I would like to list at least two figures. One is that we had the total organic growth of 2% compared with last year. Last year, when we were not yet hit by the dietary supplements and Omega-3 downturn, as we have seen it since the fourth quarter and during the whole year of 2014. So the 2% organic growth, if I put that also into a competitive context, I would say that is not a bad figure. Secondly, if I look to margins, they are within the 20%, 23% range, what is it, 20.6%? So I think that is also there. You’re that Vitamin E prices especially came down in the last part of Q3. So you see of that downturn, not much in Q3. I do not expect a big impact in Q4 either because we have always delays with contracts, etcetera. What it will bring for 2015, I don't know. As I just said, you can make a mathematical calculation, but you can do that yourself. If you know that it is roughly 9% or a little bit less of our sales then you can come to a sales figure. If you see 30% drop of prices in the end of Q3, if you calculate that for 2015 then you could talk about €15 million to €20 million a quarter. I don't know whether that will remain for the whole year, but I don't know which part we can compensate by cost reduction, but I don't know whether that applies to the full range of our Vitamin E products, but I don't know whether we can further differentiate ourselves. And I would like to add to that I'm sure that with these price levels, some competitors do not like it at all. So I put a lot of buts on that and I think those are all extremely valid, but I want to give you also the insight what it can be. So I cannot be more transparent than we just did with this and the only reason I do it in a full transparency between us what are we talking about and then of course, you fill in your models and you fill in the numbers as you think it should be and I give all the elements to deal with. I add to that that it is a deliberate strategy of DSM to defend our position in Vitamin E which is a key product which, even at those reduced prices. We make good profit and we want to be clear in the market what our position is. At the end of the day, I think this will give good returns. Yes the total nutrition business, I want to say one thing and that is that the organic growth, in the whole food and beverage market, you see that also reported by the big food companies, has been already quite a while a little bit sluggish. You see all the major food companies reporting the same. In the human nutrition area that is partly my market. So yes, I need to deal with the market of my customers. At the end, I think it's still a pretty resilient market, the whole food market; it will not go down at once, etcetera. But you see a little bit the change of behavior of consumers at this moment and that can change. Some consumers save a little bit on groceries and spend a little bit more on buying a new iPad, maybe not easily explainable behavior because there was always a clear link to GDP growth. Maybe it's a little bit less at this moment if I look to the results of the big food companies. Within that context, delivering 2% organic growth at the 20%, 23% range indicates and indeed, you hinted to that that there is a broadness and a resilience in the whole portfolio and I would like to say a few words on that if possible. Indeed, we’ve built over the years a pretty broad portfolio, vitamins being less than 40% of the total. That means two things that we built in a kind of resilience in the whole business because we have so many products, it's also that you are sometimes annoyed or confronted with that we need to discuss all those different kind of products then here, then there because it's true, we have all those products. The same in terms of end markets, we discuss animal health, we discuss United States and dietary supplements, food and beverage market, infant formula market and we need to inform you what is happening in all these markets. Today, we're servicing all these markets which in itself creates a resilience in that position which we have, but it triggers also that we discuss from time to time all these markets. But I will also elucidate this further tomorrow at the Capital Markets Days and that almost a major part of storyline, so those of you who will be there tomorrow. But I think it's important to realize and it is exactly the point you made, hey, there will be internal compensations by products and that's true.
Jaideep Pandya – Berenberg: Just to confirm, you're basically saying sequentially in nutrition, underlying EBITDA is not 2Q related, Q3 versus Q2? Did I get it right?
Feike Sijbesma: Correct. So that's a shorter summary than mine.
Rolf-Dieter Schwalb: I would still like to add two perspectives there because you made an attempt to reconcile Q3 versus Q2 with especially the insurance case and the currencies. The insurance hit is in corporate activities. As you know, the nutrition business is compensated for that by the insurance captives. So you saw that in Q2, so that does not affect directly the nutrition business. The second comment I want to make on currencies yes, you made the point they improved. Yes that is not totally true. We all look often at the U.S. dollar versus euro and there, since beginning September that is correct, the relationship improved for us. But that was, for example, not the case for the Swiss franc and several other currencies in the world. So we have – at the development also looking at Q4, we have to be a little bit broader than only looking at the U.S. dollar/euro relationship, but just to add to these two remarks.
Operator: The next question is from Mr. Rakesh Patel, Goldman Sachs. Go ahead please.
Rakesh Patel – Goldman Sachs: Just a couple left from me. Sorry to labor the point a little bit on the portfolio management. But just you've talked for a couple of years now in terms of reducing your exposure to the merchant market in caprolactam. Today, you talked about selling the entire business. I just wondered if actually in your discussions with vendors or rather would be buyers, in the past, they'd been reticent to just only buy the merchant part of the business and actually they were interested in buying the whole business but you weren't a prepared seller at that point. So any feedback on that would be great. And then secondly, just we've seen a sharp move in the oil price. So I just wondered if you could talk about the positive impact that could have on your business particularly in nutrition whereas I imagine energy is quite a large component of the cost base. Any color there would be great. Thanks very much.
Feike Sijbesma: Yes, let's not go, apologize for that, into the whole caprolactam about previous discussions, current discussions or whatever we do. We've a clear strategy. Caprolactam does not fit as it is with DSM. We want to secure internal supply in China that will be anyway arm's length and there's enough capacity in China to get that also served arm's length. And the other two regions, we will take care of that. I don't see as a big problem. I think our strategy cannot be more clear on what we want to do with caprolactam, acrylonitrile and with composite resins. It's not easy markets either. I tell that, so I don't know when, that takes two to tango. And as you have seen those things, in generally, went always too slow for the market, but at the end, we did better deals. I will come back on that on pharma also tomorrow when we discuss the Capital Markets Days. I think the way we put those things outside DSM was always done with a good eye for the shareholders' return on this. I cannot be more clear on our strategy. Timing is always unclear, but we're pretty much committed and determined to do what we think we need to do. On oil prices, true, oil prices are dropping. If benzene prices are dropping at the same moment, those are not one to one connected always, but that would give an uptake and a benefit in caprolactam business. But benzene and oil were always one to one connected and since the shale gas movement, not totally any more. But there, it's good, give a positive. In the rest of our business, yes, we buy oil derivatives, but it has not a huge impact. So we had different DSM in the past and internally we watch and benefit much less of this increasing or dropping oil prices than in the past.
Operator: The next question is from Mr. Neil Tyler, Redburn. Go ahead please.
Neil Tyler – Redburn: A couple of questions please. Firstly, going back to your comments on the slower than expected recovery in human nutrition is that referring to your expectations around your own efforts to consolidate the industry effort to improve demand or should we have expected anything in that regard by now? So are your own marketing efforts meeting with a response that you had expected? Secondly, just circling back to Vitamin E on the demand side there, can you find any reasons, given the strength in your volumes at least and across the market in demand causing the price declines that we're seeing in the spot markets? Have you got any insight that you might be able to provide on that because I've not been able to find any myself in all honesty. Thank you.
Feike Sijbesma: Yes, two good questions, indeed. In the whole dietary supplements and (indiscernible) has remarketed this combination of industry and ourselves. What we try to do with industry is to communicate better with consumers. We do that to consumer information, but we do it also with retailers in terms of managing better the category at the retail shop. That is in the interest, of course, of all in the industry, the retailers, the other manufacturers and ourselves, etcetera. and we see that a better communication can help. I add immediately to that those initiatives are good, we are taking that, we're driving that, together with others. I see some good early signs but I'm very careful in not jumping on our chairs here and that we say the market is recovering. On top of that because it is this context, we're trying to manage our business as sharp, as incisive as possible and to take care of our position in that market. I think in that context and compliments to our management, we do not worse than competition that is a Dutch expression of saying we do better than competition. If I look to Vitamin E, yes, there you’re right. I think that today's decline of Vitamin E prices happened due to new entrants. I don't see any new, new entrants, but over the last two years out of China, like we discussed, I don't see Haishun, at this moment, finishing their factory and entering the market. So I don't see any new entrants. At today's prices, I don't expect it either because all those new entrants who think to enter the market right now will be loss making operations, so I don't expect that. Due to that, the prices declined also in the third quarter and we made in the third quarter, already before to be honest, pretty clear our market is our market, our market share is our market share. Once again that maybe does not help on the very short term the prices, but I think it's the right strategy for us to pursue and I think we will be grateful for that strategy. 
Operator: The next question is from Mr. Paul Walsh, Morgan Stanley. Go ahead please.
Paul Walsh – Morgan Stanley: I have three questions if I can please. Feike, thanks a lot for the transparency on the Vitamin E business, but I just want to make sure my math are correct, 9% of the nutritional product segment, if prices are down 30% annualized next year on your contracts that is a €60 million to €80 million EBITDA headwind you're operating against worse case. I clearly understand things could get better, but I just want to sense check that. I think you mentioned €15 million to €20 million a quarter at current prices. The other sub-question to there is do you see potential for competitive threats in other vitamins potentially building in China as well? And just secondly on guidance, it just occurs to me that you're happy with current consensus. That would imply essentially a Q4 EBITDA number of well over €300 million and that would imply little or no seasonal weakness in the fourth quarter. So, clearly, something is going right in Q4. I'm just wondering if you can give some more insights on that. And just lastly on the disposals, given the time it's taken on capro, I suspect as you say timing of these things is always quite difficult. But would you be prepared to take write-downs on those businesses just to get them off the balance sheet given that the focus on the portfolio is clearly shifting towards the higher value part? Thanks very much.
Feike Sijbesma: I will be supported by Rolf-Dieter on those, so, Rolf-Dieter, jump in when you can make the answer even better. I think we do every year at the year-end our normal impairment test of all our businesses, so also the businesses we have on the roll for strategic actions. We will review those at the year-end and if any impairments come out of that, we will take those. If not, we will not take those. And it will run via that process. But it's clearly what we want to set apart. That is one. On the Vitamin E pricing, yes, I repeat what you said yourself, I don't expect a big impact in Q4 and indeed we say today that for the remainder of the year in Q4 or the total year, it's whatever you calculate, we're at current market expectations. So then you can do direct of the math yourself, like you were doing. For next year, yes, this is very difficult for next year and I mentioned indeed, if you can calculate your 9% of Vitamin E and if you see a 30% drop and if it would continue for the whole year, you can make your calculation like you do make. Obviously, we will see whether we can differentiate ourselves. Obviously, we will see whether we can reduce further costs. Obviously, we will see how long certain people can deal with these kinds of prices not making a profit at all. So and all those kinds of things, I don't know what will be the outcome. That is pure speculation for next year and there, yes, I hate to say that you have to take your own assumptions and fill your own models and it is too early for us now to give any 2015 guidance, so that is not on the table right now. Rolf-Dieter, help me where you can improve my answers.
Rolf-Dieter Schwalb: Yes, maybe as an addition to the one on taking a book loss or not, yes you have seen in the past, sometimes you have a book loss at the moment of closing, but later, you can have a book profit. Again, if it's a joint venture situation, for example, we have talked about that and we will do a bit more tomorrow at the Capital Markets Day for the pharma joint venture which we created the beginning of this year where we also took a book loss at the moment and we see quite a potential there for the future still. So, these are things which you have to weigh against each other and of course, the strategic importance is there.
Feike Sijbesma: I want to add one thing maybe on the whole vitamin situation and this is that we sell only a small part of our vitamins as straight and what you are more into here are the straight prices. Most of our Chinese competitors sell it as straight and we sell it as forms and pre-mixes, etcetera. So there is a factor there which is very relevant and important and, in fact, we are there in that sense by far the strongest in the whole supply chain, being backward and forward integrated. But let me take another vitamin. Vitamin C is at this moment Dave, between $3 and $4? Something like that? And that has been $9 in the past also and so some of those straights will fluctuate. Vitamin C is, I think, around almost its lowest prices, I see there more upsides than downsides. So some of those straights will always move, but realize it is only a certain part of our total portfolio and realize we're trying to play especially the whole value chain, a game here.
Paul Walsh – Morgan Stanley: And can I just follow-up, sorry, on the guidance for full year 2014 and the implied performance in Q4 looks pretty strong? Can I just follow up on that question? Thank you very much.
Rolf-Dieter Schwalb: You did your calculations that's I think, relatively clear and straightforward and the conclusion you have is also then correct. Although not all currencies go in our favor, but there is a currency benefit also on Q4.
Paul Walsh – Morgan Stanley: Okay fine. But you would expect the normal seasonal pattern in the portfolio?
Rolf-Dieter Schwalb: If you look back last year already, we did not see the normal seasonal pattern either last year, Q4.
Feike Sijbesma: And as Rolf-Dieter was clear of course, the euro/dollar is helping us, but the euro/Swiss franc and the euro/real as in Brazil and Switzerland are very important markets, are not helping us, so take that into consideration as well and a charge to the acquisition of Tortuga also Brazil plays an important role, but it does for all currencies in the models.
Operator: The next question is from Mr. Andrew Stott, Bank of America Merrill Lynch. Go ahead please.
Andrew Stott – Bank of America Merrill Lynch: Couple of questions, I'll start with vitamin pricing again. I stand back and I'm completely bewildered by the scale of change in a manner of months. For example, it's not just Vitamin E, as you said, but if we focus on the weaker link, pricing on my data's down almost 50% year on year. You're saying there's no new capacity in the market today. Animal feed demand is very, very strong. You look at other inputs into that market like methionine and we've never seen prices like this, it's the opposite. So what is happening in vitamins in China? And can I relate a sub-question to that? When you say €15 million to €20 million per quarter as an impact, is that just using spot prices in China today and then feeding that through to your own contracts? Thank you.
Feike Sijbesma: Yes, those, indeed, the €15 million to €20 million is just using the prices Feedinfo is reporting and if you just calculate from those prices, you come to that calculation. That's absolutely what we did there. And I said already a couple of times, we need to see to what extent that translates in the same way to us because, indeed, we're not operating on the spot market. Indeed, we sell at these forms and pre-mixes, etcetera, so you are totally right there. As an average, we’ve also more margins than competition not only due to our cost position, but also we sell more complicated forms into the market. Indeed, it is just a translation of the spot prices and I also don't know what they will do. Why do we share that with you? Because I want to be open, also where you can look it up anyway and otherwise, you could calculate it yourself because you see yourself the drop in spot prices. You know how much percentage of our total sales is in Vitamin E, so you could easily have calculated the same number. If we would have not presented it to you, you could have presented it to us and say, well if, I can talk about these kind of impacts and then I would say, you are right and we need to find out whether all the ifs are then correct. Why is this happening? That's a very good question. Not with all the vitamins, you said what is happening with vitamins in China. Vitamin C is not dropping, so it is not with all the vitamins and they are unrelated because there are hardly any producers who produces a full range of products. There are different manufacturers all over the place and there are two a little bit bigger players that is ZHU and NHU, and then there are smaller players, two smaller players, and Haishun who is not coming on the market. Those players, as that I talked about, those two bigger and two smaller players, have been pushing volume I think over the year and more and more into the third quarter. And maybe trying to get market share. And we have a clear strategy also here. We’ve seen in the third quarter that due to that volume push, you get pressure on the prices and that is happening because the market is good, like you said and animal health market is good, but if you push volume too much, this still happens. We want to be clear, at least on our position and this is a result for that. But Andrew, I totally agree with you. I also do not know because the decrease in the last day for this, it's three weeks in Q3, four weeks?
Rolf-Dieter Schwalb: Yes, the animal number.
Feike Sijbesma: Is stiff, is rapid and yes, there's an English expression, what can go down can come up, but some say even will, but I don't know what happens. I know that some people will not like the current situation. I don't know Andrew, whether this helps you, give you more insight? Help me what I should address.
Andrew Stott – Bank of America Merrill Lynch: Sort of. I think the mystery deepens to some extent. I just wonder if I could follow up with a question on --
Feike Sijbesma: And why? Well, where can I help you?
Andrew Stott – Bank of America Merrill Lynch: Well, it's just the scale of the decline. I don't understand if there is no new capacity in the market, why is pricing down 50%? It defies logic, right?
Feike Sijbesma: Yes, these behavioral players in the markets that is a territory I don't want to go, if you understand. And I accept that people sell at prices they want to sell and whether you call that stupid or not, yes, it's up to all kinds of people to have a judgment on that. But ideal with the market as it is.
Andrew Stott – Bank of America Merrill Lynch: Okay. Could I just follow-up on a separate issue? On the infant nutrition business, we'd seen softer comments in Q2 from yourselves. Since then, Danone have come out with a more positive commentary around third quarter, I haven't seen what Mead Johnson are saying and you're saying in your slide deck some slight improvement or at least stabilization. So can you just update us on where we're with the infant nutrition market? Thanks.
Feike Sijbesma: Yes. On infant formula, we should make a distinction between our position and the market situation. The market in 2013 has been anticipating on a little bit faster growth I think than they actually had in 2014, a faster growth due to the scandals in China and especially some people that we can benefit from that. Secondly, also the deliberation of the one-child policy statements in China, people were anticipating a little bit faster market growth and I think that some of our customers have stocked in order to anticipate on that market growth. That steeper market growth did not happen, but I agree totally with you. The market continues to grow and that's also with our customers report and also in our contact with our customers. However, what our customers are doing is they are destocking a little bit at this moment, already since the second quarter it happened. In the midst of the second quarter, they realized how their growth is and it is a normalized growth, not bad at all and they are destocking since the second quarter because they have – I think, stocked too much 2013, maybe even 2012, I don't know. And we of course, as the supplier of them are being confronted with that. The good news is that this destocking will be over at a certain moment. We expect to get again an uptick of that at the second part of the first half of 2015 and then we will benefit from that normal growth which is indeed happening. So basically on the end market, not much concerns, but there is a stock movement which is impacting our performance in infant formula at this very moment. 
Dave Huizing: We still have time for one last question. We're approaching 10, so, Anita, who's going to have the last question?
Operator: That’s Mr. Andreas Heine, Barclays. Go ahead please, sir.
Andreas Heine – Barclays: I will keep it also to one question. You have quite a good wording on food specialties by gaining market share and strong growth. Was this just a very strong quarter or is there something which is let's say, becoming a trend that you grow more steeply than in recent years with this business unit?
Feike Sijbesma: Yes, we're very short on the ball with all our nutrition business, by the way and also with food specialties. And to do it better also, we, by the way, Rolf-Dieter and myself and so our management board, together with Stephan Tanda and all the nutrition people, are short on the ball of all of this. And if you look to food specialties in food enzymes you're talking about. If you talk about cultures, we had a pretty good performance in this quarter and what we're trying to do there is to capture all market growth opportunities. I don't want to go too much in detail here now about all our growth figures there, but also there, if you compare it with competition, you know that people like Christian Hansen and (indiscernible) etcetera., operating in the same market segment, again, in a good Dutch expression, we don't do bad at all. You know by now what Dutch people mean with that.
Andreas Heine – Barclays: But it is not a one quarter issue, so it's --
Feike Sijbesma: No, I hope – of course, I'm careful with forward-looking statements and outlooks etcetera., you understand that, but I see the opportunities in food specialties absolutely.
Dave Huizing: Rolf-Dieter, maybe some closing remarks before we close off the call?
Rolf-Dieter Schwalb: Okay. Good. As we discussed at the beginning especially of the call, it's clear that we remain committed to our strategy for growth across our nutrition and performance materials businesses and we will continue to pursue strategic actions for polymer intermediates and composite resins. We're strongly focused on operational excellence and delivering efficiencies to protect and enhance our profitability and cash flow and for the remainder of the year, we anticipate performance in line with current market expectations. And as this was my last quarter results call, I would like to thank you all for the good questions and discussions over the years and wish you all the best for your future. Thank you.
Feike Sijbesma: Thank you also, Rolf-Dieter, for doing that together with me over the years and I welcome already now by phone Geraldine, who will be also there together with us at the Capital Markets Days tomorrow and will take over December 1 from Rolf-Dieter. Welcome, Geraldine.
Dave Huizing: Yes, for those who missed questions, tomorrow is another chance. So we hope to welcome you again tomorrow at our CMD. Thank you.
Feike Sijbesma: Operator, you can close the call.